Operator: Okay. Good day. Ladies and gentlemen, thank you for standing by. Welcome to the TriMas First Quarter 2016 Earnings Conference Call. Today's call is being recorded. I would now like to turn the conference over to Ms. Sherry Lauderback. Please go ahead.
Sherry Lauderback - Vice President-Investor Relations & Communications: Thank you and welcome to the TriMas Corporation's first quarter 2016 earnings call. Participating on the call today are Dave Wathen, TriMas' President and CEO; and Bob Zalupski, our Chief Financial Officer. Dave and Bob will review TriMas' first quarter 2016 results, as well as provide details on our 2016 outlook. After our prepared remarks, we'll open the call up to your questions. In order to assist with review of our results, we have included the press release and PowerPoint presentation on our company website at www.trimascorp.com under the Investors section. In addition, a replay of this call will be available later today by calling 888-203-1112 with a replay code of 3415946. Before we get started, I would like to remind everyone that our comments today, which are intended to supplement your understanding of TriMas, may contain forward-looking statements that are inherently subject to a number of risks and uncertainties. Please refer to our Form 10-K for a list of factors that could cause our results to differ from those anticipated in forward-looking statements. Also we undertake no obligation to publicly update or revise any forward-looking statements, except as required by law. We would also direct your attention to our website where considerably more information may be found. I would also like to refer you to the appendix in our press release issued this morning or included as a part of the presentation, which is available on our website for the reconciliations between GAAP and non-GAAP financial measures used during this conference call. Today, the discussion on the call regarding our financial results will be on an excluding special items basis. At this point, I'd like to turn the call over to Dave Wathen, TriMas's President and CEO. Dave?
David M. Wathen - President, Chief Executive Officer & Director: Thanks, Sherry. Good morning, and thanks to everyone on this call for your interest and attention to TriMas. As I'm sure you've heard from other industrial companies, the word headwinds is descriptive of how our world currently feels. The macro data on the U.S. economy in first quarter is weak. None of us are surprised that first quarter GDP was only 1.5% and most forecasters are suggesting another flat 1% to 2% GDP year for 2016. Of course, it is not all doom and gloom. We've almost lapped the plunge in oil prices, the inventory reductions in Aerospace and the dollar strengthening. Oil prices have climbed some recently, such that production activity could pick up in the back half. So, overall, we managed what is in our control. As you know, we announced a $15 million Financial Improvement Plan in September, given the current economic environment and, more recently, increased expected savings to $22 million. By these proactive actions, we were able to offset a significant portion of the operating profit loss associated with lower sales levels due to these external headwinds. We will continue to keep after our costs, pursue the bright spots and ensure that TriMas remains in place where great people want to work and perform. External challenges significantly impacted our first quarter, particularly in the energy facing markets. First quarter sales of $203 million reflects the impact of lower oil prices, lower Aerospace distributor sales and unfavorable currency versus a year ago. I believe we have resized and adapted appropriately to these headwinds and my optimistic side is certainly noticing the oil and currency trends that are improving. Some revenue growth would surely leverage well with our downsized businesses and we pursue every bright spot that make sense. While sales declined year-over-year, three of our four segments showed improvement on a sequential basis. Packaging revenues increased versus fourth quarter and versus a year ago, with strong operating profit margin of nearly 23%. Energy revenue was 10% higher than Q4 and while there is more work to do with operating profit margin at 2.4%, the trend line is right. Engineered Components revenue was up 16% sequentially. Our oilfield engine business is essentially operating as a parked business and solid performance in the cylinders business led to a solid operating profit margin of 15.3%. The strong performance in these three segments and lower corporate costs, all relative to our expectation for the quarter, enabled us to achieve the top end of our Q1 EPS guidance range with $0.27, despite lower-than-expected sales and profitability levels in our Aerospace segment. I would like to take a few moments to address our Aerospace performance during the quarter. As previously discussed, our two larger distribution customers began lowering their inventory levels during the second quarter of 2015. Given the higher margin level of many of these products, we expected Q1 sales and profitability to be impacted, as it was during the back-half of 2015. Fortunately, we expect that the year-over-year impact will time-out after second quarter. In addition, the integration of our Q4 acquisition of Parker Hannifin's machining facility in Arizona is behind schedule. While we knew converting a captive cost center to a profit center, pursuing new business would take time. It has proven to be more difficult and expensive than expected. We are working collaboratively with Parker to resolve these challenges and achieve our expected profitability. Lastly while the OE build rates remain as expected, we experienced scheduling and production challenges at our Monogram facility related to meeting current demand levels. Tom Aepelbacher and team have implemented many positive changes in the factory to address smaller lot sizes and the new supply chain requirements. Now we are modifying the office processes and scheduling systems to match the factory changes, and we had some glitches. Manufacturing throughput suffered and we did not meet our production goals. As a result, OE revenue and margin in Q1, declined rather than growing with the build rates. The good news is this is all within our control and we have plans in place, with many actions already taken, to remedy the situation. We are now completing the upgrades of our ERP system to provide enhanced data to assist us going forward. As you would expect, I've had a deep dive into all of this with Tom and his team and the actions to get performance on track are underway. We have three specific recovery teams, one dedicated to closing out the systems and scheduling challenges, another team focused on the Arizona facility integration project and the third team is working on increasing OE production throughput. We expect to help the improvement through the rest of 2016. Slide five describes the headwinds and tailwinds we are seeing. They remain consistent. So, I'll just comment on the new trends and changes we are seeing in 2016. Oil prices have increased enough such that engine and compressor quoting activity is encouraging. Although so far, it's just quotes and not orders. We have not yet lapped the downturn in Aerospace distributor orders, but at least the order rates seem stable at these lower levels. And exchange rates appear to have stabilized such that we only had approximately $2 million of negative revenue impact in Q1. Just like headwinds, our list of tailwinds is similar to a quarter ago. So, as you expect from us, we keep after the bright spots, we mitigate the risks and capture every opportunity that we can. Now, I'll turn to slide six and update on our key business initiatives, focused on improving performance in each of our businesses. Packaging is now fully utilizing the India tech center to accelerate new product development for customers who are pursuing new market growth. New product programs are scheduled throughout 2016. The operating team in this business continues to fine-tune what products are produced where for cost out and supply chain speed (9:16). The Q1 margin and cost metrics in our Energy business indicate sequential progress in our broad restructuring actions. And the new Reynosa, Mexico plant continues to ramp well. Our make versus buy and pricing optimization projects are showing more upside than originally predicted, where we kicked off our restructuring and business improvement program in this business. I'm also glad to be able to announce our President for this segment, Marc Roberts. With his strong operational background and process improvement skills, I'm confident this experienced manufacturing executive will continue to move our Energy segment forward into the future. Marc will report to me, and I'm counting on him to accelerate implementation of our improvement actions. Engineered Components is of course two businesses. Our Tulsa-based oil and gas equipment business continues to achieve breakeven results on low revenue and is poised for any upturn. Our cylinders business is performing well, plus the team in Texas is installing additional fabricating equipment that reduces costs in current production, plus provides capacity for future growth at lower costs. We already discussed the key areas of focus in Aerospace. Overall, I believe we are thoughtfully allocating resources and capital, while balancing our goals of margin enhancement and profitable growth. I will provide an update on our guidance, but first Bob will provide a more detailed look at our financial and segment results. Bob?
Robert J. Zalupski - Chief Financial Officer: Thanks, Dave. I will begin my comments by providing a brief summary of our first quarter results beginning on slide eight. We reported first quarter sales of $203 million, a decrease of 9.5% compared to first quarter 2015. As Dave noted, we experienced significant top line pressure during the quarter with the two primary drivers being a sales decline of $14 million due to the impact of continued low oil prices in our energy-facing businesses and an $8 million reduction in our organic sales to OE and distributor customers within Aerospace. These declines, along with approximately $2 million of unfavorable currency exchange, more than offset organic growth in Packaging and approximately $3 million of sales growth from acquisitions. As a result of these sales declines and related lower fixed cost absorption, operating profit for the quarter was $22 million, or 10.8% of sales, representing a 60 basis point decline compared to Q1 2015. The margin decline in Aerospace more than offset the year-over-year margin improvements in Packaging and Engineered Components, as well as savings related to our Financial Improvement Plan and lower corporate spend. With the exception of Aerospace, each of our businesses performed at or above our expectations in the quarter. We reported a first quarter diluted EPS of $0.27 per share, which was at the top end of our previously provider Q1 outlook range. Q1 2015 free cash flow was the use of $5.9 million. While lower than expected, we remain committed to our full-year free cash flow guidance range of $60 million to $70 million. We ended the year with approximately $438 million in total debt, a 34% reduction compared to $663 million a year ago. We used the cash distribution from Horizon Global in connection with the spin transaction to reduce outstanding borrowings. Our leverage ratio was 3.05 times at March 31, and we had approximately $90 million of cash and aggregate availability under our credit facilities. Moving on to slide nine. We prepared a bridge slide, which illustrates the factors impacting our Q1 2016 earnings results, as compared to the prior year. As you can see, the cost savings realized from our Financial Improvement Plan, as well as some of the pre-FIP cost savings actions taken in our Oilfield Engine business, essentially offset the impacts of the year-over-year revenue decline discussed previously. As Dave noted earlier, we are aggressively executing on the plans to remedy the short-term production and integration inefficiencies in Aerospace and expect to see progressive improvement beginning in the second quarter. Reduced corporate spend, as well as lower interest, tax and other expense also benefited the current quarter. At this point, I would like to shift gears and share a few comments on our first quarter segment performance, beginning with Packaging on slide 11. Packaging's first quarter sales increased 1.5%, as sales to each of our key end markets, which include Industrial, food and beverage, and health, beauty and home care increased organically, more than offsetting the $1.4 million impact of unfavorable currency exchange. Packaging reported a Q1 operating profit margin of nearly 23% due to the higher sales levels and ongoing productivity and cost reduction actions, which offset its investments in global capabilities. We believe Packaging will continue to achieve its targeted margin range of 22% to 24%, while funding ongoing initiatives such as the new customer innovation center in India and the ramp-up of lower cost manufacturing capacity. Turning to slide 12, Aerospace. As Dave already noted, first quarter sales and operating profit in Aerospace overall were significantly lower than expected. That said, Q1 sales to our larger distribution customers were pretty much as expected but did decline approximately $4.6 million compared to the prior year, as certain customers continue their planned inventory reductions which began during Q2 2015. The decline in OE-related sales, due to manufacturing inefficiencies and production constraints, was approximately $3.6 million. These sales decreases were partially offset by approximately $3 million of sales related to the November 2015 acquisition of the Parker Hannifin machined components facility. Compared to the prior year, Q1 operating profit margin declined to 8.7%, primarily due to lower fixed costs absorption and operating leverage due to the reduced sales volumes, higher costs associated with the aforementioned manufacturing and production scheduling inefficiencies, higher integration costs and operating costs related to integrating the Parker Hannifin facility, with that of Martinic and a less favorable product sales mix as a result of lower levels of higher margin distributor revenue. As Dave noted, we are executing on our recovery plans and are focused on improving Aerospace margins back to the originally planned levels over the next two quarters. We will continue to leverage our Aerospace platform to better serve customers and develop and qualify additional highly engineered products for Aerospace applications. Moving on to slide 13, Energy. Sales in Energy declined 12.5% compared to the year-ago period, as we experienced continued low demand from upstream customers, lower sales from international branches closed as a part of the restructuring and the impact of unfavorable currency exchange. Energy operating profit and the related margin declined year-over-year as the margin impact of this sales decline and lower fixed costs absorption were only partially offset by the cost savings related to our restructuring efforts. We did, however, see improvement as compared to fourth quarter results. We have been focused on reducing the fixed and variable cost structure of this business by consolidating facilities, starting up a new lower-cost manufacturing facility in Reynosa, Mexico and adding experienced resources to the leadership team, including Marc Roberts, the new President of Lamons announced today. We have also launched global sourcing and inventory planning initiatives focused on lowering product costs and reducing investment in inventory. Moving on to slide 14, Engineered Components. As already discussed, we are facing significant headwinds as a result of lower oil prices, which dramatically impact the results of Arrow Engine. With the Q1 year-over-year sales decline of nearly $8.5 million, Arrow's management team has aligned Arrow's cost structure with the current level of business activity to remain approximately break-even during the quarter. The other business in this segment, Norris Cylinder, was down approximately $2 million in sales due to weakness in industrial end markets and lower export sales. Operating profit declined primarily due to lower sales. However, operating margin increased 280 basis points due to our cost savings initiatives and productivity improvements. Our focus remains on aggressively managing the cost structure in each of these businesses in response to end market demand. Slide 15 provides a summary of our segment performance, which compares current year, prior year and sequential quarterly results. It is evident the top line pressures continued in the majority of our segments when you compare our sales results to first quarter 2015. By the end of the second quarter, we will have lapped the majority of the year-over-year impact of two significant headwinds, lower oil prices and Aerospace distributor inventory reductions, and our underlying business performance should become more visible. On a sequential basis, you can see some improvement in sales levels in three out of four segments. We have taken actions to hold and improve margins but much of the benefit to operating profitability is masked by the impact of year-over-year revenue decline related to lower oil prices and lower Aerospace distributor sales. With the exception of Aerospace, each of our businesses have performed at or above our expectations to date. So, while there are some positives to report as we begin the year, there's clearly more work to do in certain areas. Turning to slide 17, which provides an updated view of our 2016 revenue growth and margin expectations by segment. The majority of this slide is consistent with the information presented in February. The only exception is in the Aerospace segment, given the Q1 results already discussed. Progressing through 2016, we expect Aerospace revenues to increase, given consistent build rates and the full-year impact of the Parker Hannifin facility acquisition. Given the impact of near-term production and integration costs and inefficiencies that reduced Q1 sales and profitability, we currently believe our full-year margin level will be lower than originally expected. However, successful execution and improvement plans in place will result in increasing operating margins in each of the next two quarters and will allow us to achieve our original 2016 target operating profit range of 18% to 20% in the second half of the year. In summary, I believe we have sized our business cost structures consistent with the current economic environment and we'll begin to experience better operating leverage and fixed cost absorption going forward. Of course, as we move through the remainder of 2016, we will update you on progress relative to our improvement actions or other matters that may impact our expectations. At this point, I will turn the call back over to Dave to discuss our total company 2016 outlook. Dave?
David M. Wathen - President, Chief Executive Officer & Director: Thanks, Bob. I will now provide some additional comments on outlook, starting with slide 18. I've included some commentary supporting the drivers of ongoing quarterly earnings expansion in 2016. While Q1 performance was at the high end of the guidance we have provided, we are expecting increases in sales and earnings levels as we move through 2016. In Packaging, we are working with our major customers on their planned new product introductions that are expected to launch throughout the year, providing incremental sales and profit. Our Aerospace OE backlog is strong and we are diligently working on improving our processes to exceed the expected sales and profitability levels. This, combined with the execution of the margin improvement plans, should result in back-half Aerospace margins in the high teens as originally planned. And we have some bright spots too. We didn't acquire the Tolleson, Arizona facility for Parker Hannifin to leave it as is. We are already successfully producing prototype sample parts for other Aerospace customers. So, it's likely we will be able to take plant utilization up as time goes on. Energy is all about leveraging our lower fixed cost structure and further realizing the benefits of our process improvement projects, ranging from branch and plant consolidations to sourcing initiatives to low cost plant ramp-up to pricing actions. We are not counting on any market upsides in our cylinders or engine businesses in Engineered Components, this continued tight cost control and productivity to maintain our strong segment margin. Overall, we expect the execution of these initiatives to result in expanded sales and earnings in future quarters, while recognizing the Q4 has historically been a lower sales quarter. Moving to slide 19, we are reaffirming our full-year 2016 outlook we provided during our last earnings call. We are still running based on near-flat industrial markets, currency fairly stable as is and no pick-up in oil related activities. All this, combined with growth in Packaging and Aerospace, rolls up to basically flat sales for 2016 versus 2015. We expect EPS in the range of $1.35 to $1.45 per share for 2016. Thanks to our already implemented Financial Improvement Plan, productivity projects in all businesses, and broad-based restructuring actions in our Energy segment. There are certainly external trends that could impact revenue and earnings, most noticeably, oil prices climbing more. But you know our business model (24:34) what we can, particularly our costs and be prepared to react to external events when they do occur. Free cash flow outlook remains at $60 million to $70 million for 2016. My summary is our playbook. You know, I am a proponent of consistent straightforward messaging, both internally and externally. We will adapt as risk and opportunities occur and stay focused on execution in the areas within our control. We are concentrating on growing our Packaging and Aerospace platforms with near-term focus on improving our Aerospace and Energy profits and margins. Cash flow and productivity are underlying requirements of our success and improvement. Second quarter is our annual strategic planning period and board reviews and we continue to look for ways to drive return on capital and shareholder value. Thank you. And we will now gladly take your questions.
Operator: Thank you. We'll take our first question from Andy Casey with Wells Fargo Securities.
Andrew M. Casey - Wells Fargo Securities LLC: Thank you and good morning. Couple of questions.
David M. Wathen - President, Chief Executive Officer & Director: Good morning, Andy.
Andrew M. Casey - Wells Fargo Securities LLC: Good morning. Couple of questions. First your comment about lower margin expectations for 2016. Are you looking at roughly 12% to 14% versus prior 13% to 15%?
David M. Wathen - President, Chief Executive Officer & Director: Help us a little, Andy. We did suggest because of the math of first quarter that Aerospace won't be – we're not likely to be at 18% to 20% we're likely to be a bit of lower. I think that's the only real comment we made about margin expectations.
Andrew M. Casey - Wells Fargo Securities LLC: Okay. I'll take that offline with Sherry.
David M. Wathen - President, Chief Executive Officer & Director: Definitely, definitely. Yeah.
Andrew M. Casey - Wells Fargo Securities LLC: Okay. And then, on the guidance, Dave, the net effect of the Aerospace margin reduction and the modest Energy margin increase, it looks like an approximate 3% to 6% hit to the 2016 earnings. I know it's kind of small in the scope of your overall guidance for 2016 but can you explain the decision to maintain the guidance?
Robert J. Zalupski - Chief Financial Officer: Yeah. I think notwithstanding the shortfall in Aerospace in Q1, we were still able to achieve the top end of the guidance range. And, obviously, as we move through the remainder of the year, there is a lot of variables there that we need to – those that are within our control, i.e., execution of the Aerospace Recovery Plan. We need to execute on it and obviously we need to see the top line in Packaging continue to grow as we expect to – as we move through the year. So, I think when you look at those factors in combination, we believe we're still within the guidance range that we've set for the full year.
David M. Wathen - President, Chief Executive Officer & Director: Yeah. There are things that go our way that we probably don't really spell out, but we all know steel prices are surprisingly low. It seem to be staying there and we can buy forward. Resin prices are doing a lot of the same sort of thing. So, we've got a lot – there are, I say it over and over. There is risk and opportunities. We really try to get the opportunities locked in. So, your math is right but we are also finding other background items to offset. You pay us to do it. That's what we do.
Andrew M. Casey - Wells Fargo Securities LLC: Sure. Sure. And comment about the work with Parker Hannifin. Would there be any compensation that is not included in the margin at this point that could actually go in there?
David M. Wathen - President, Chief Executive Officer & Director: No, no, they're a customer. We've got – we'll get things where we need them to be ourselves.
Andrew M. Casey - Wells Fargo Securities LLC: Okay. And then lastly, last quarter, you gave a little color around customer stress and energy-related markets. Have you seen any improvement in that, or is there actually increased stress?
David M. Wathen - President, Chief Executive Officer & Director: There is a little improvement. You might underline a little but there is some turnaround activity in like the Midwest. I was just in Houston Monday, introducing Marc Roberts and talked with everybody. There's some turnaround activity. There are some big projects that are continuing to flow that are good for us. I wouldn't want to say it's back to good times. It's just there is some turnaround activity occurring and there is a handful of big projects that tends to give us a few million dollars' worth of volume. It's not like the years when you have ten of those but with those qualifications, yeah, there's a little bit of a pickup.
Andrew M. Casey - Wells Fargo Securities LLC: Okay.
Robert J. Zalupski - Chief Financial Officer: Andy also relative to I think your question around maybe customer financial stability, we haven't seen any further deterioration in the risk related to accounts receivable or customers filing bankruptcy, or anything of that nature. So, our reserve levels are, we believe, very appropriate, given the current economic environment and we'll continue to monitor it very closely.
Andrew M. Casey - Wells Fargo Securities LLC: Okay. Thank you very much, Dave and Bob.
Operator: Thank you. We'll continue onto Karen Lau with Deutsche Bank.
Karen K. Lau - Deutsche Bank Securities, Inc.: Thanks. Good morning.
David M. Wathen - President, Chief Executive Officer & Director: Hi, Karen.
Robert J. Zalupski - Chief Financial Officer: Hi, Karen.
Karen K. Lau - Deutsche Bank Securities, Inc.: Hi. Can we start with Parker? Dave, can you give us more color, exactly what – so what exactly were the differences versus expectation and what's causing the challenges in integration with regards to the Parker transaction?
David M. Wathen - President, Chief Executive Officer & Director: It really was a cost center internal to a manufacturing organization that, in a day, switched to being a profit center. As it worked out, very few people within the organization knew that. That caused some handoff problems with everything from ordering castings to scheduling to when do the prices change, if they are going to change, and all that. It just has taken us – all I can say it has taken us longer than we had originally anticipated. There is no fundamental problem. It's just proving to be a little bit more difficult transition that we anticipated.
Karen K. Lau - Deutsche Bank Securities, Inc.: Okay.
David M. Wathen - President, Chief Executive Officer & Director: The model is still the same. It's a plant with lots of excess capacity, good equipment, very good equipment, great people and, of course, our intention is to sell those same kinds of products to other customers and utilize the facility a lot more. It was never going to be just as is but, of course, we've got to get it running right as is to start. We've got to get that right before we can make a decision to take on new customers.
Karen K. Lau - Deutsche Bank Securities, Inc.: Got it. Maybe shifting gear to the OE side of Aerospace, I was just curious, so part of the disruption with the distributors was because Boeing and the OEs trying to order direct and bypassing the distributors. I guess there are recently more stories about Boeing trying to cut costs further. I was just curious are you noticing any more pricing pressure on the OE side?
David M. Wathen - President, Chief Executive Officer & Director: I wouldn't call it more. There has been pretty intense pricing pressure really for the – almost say in the last couple of years. We think they kind of started some of that (33:28) Partnering for Success with fasteners. And so we've had that pricing pressure coming at us.
Karen K. Lau - Deutsche Bank Securities, Inc.: So, (33:40)...
David M. Wathen - President, Chief Executive Officer & Director: Also there is a lot of news about them doing layoffs and things like that. That's really – but that is – none of that really has affected the build rates. So, all that is pretty strong. And of course our pricing with the OEs is long-term kind of pricing. So, yes, there is a lot of talk about price and our margins being high and all that kind of thing but I think we've absorbed it.
Robert J. Zalupski - Chief Financial Officer: I think you will see, Karen, as we move through time, whether it's new LTAs or new products that we qualify (34:15) work on that the pricing pressure will be continued, or it will continue.
David M. Wathen - President, Chief Executive Officer & Director: Which just keeps the heat on us to get productivity and cost out.
Karen K. Lau - Deutsche Bank Securities, Inc.: Got it. And then just lastly on the oil and gas side. Can you remind us, in terms of its sensitivity of aero results to oil and gas, are they more tied to the drilling side of things, so more tied to rig counts, or are they more tied to well completion and production? And maybe you can comment the same on how much of the Energy segment is exposed to upstream oil and gas and the sensitivity to drilling and production as well?
David M. Wathen - President, Chief Executive Officer & Director: Okay. The Tulsa Aero Engine and Compressor business is, of course, substantially an oil and gas field equipment business. Rig count models well with our volume, but it's – it's really how many wells are put into production, because everybody has heard there is a lot of wells out there. Now they're capped. They're just leaving upset because of the prices. There's plenty of opinions. The one that – of course our people in Tulsa live and breathe this stuff. Most they feel like at about $50, some of those wells start turning back. They go ahead and equip them and turn that turn on. That's when we'll see an impact. It doesn't really take rig count. It takes the decision by a upstream producer to turn on wells that are sitting stagnant. There's plenty of those for now. The Energy segment, the Lamons business out in Houston is partially upstream...
Robert J. Zalupski - Chief Financial Officer: 15% to 20% (36:06)...
David M. Wathen - President, Chief Executive Officer & Director: Yeah. 15% to 20% of it is upstream related, may not even be that much right now.
Robert J. Zalupski - Chief Financial Officer: No. And that's what (36:13) decline year-over-year.
David M. Wathen - President, Chief Executive Officer & Director: In normal time, we would expect that.
Karen K. Lau - Deutsche Bank Securities, Inc.: Okay. And that's also more tied to production than drilling?
David M. Wathen - President, Chief Executive Officer & Director: That's really production. That what's flowing through – yeah, what's flowing that...
Karen K. Lau - Deutsche Bank Securities, Inc.: Got it.
David M. Wathen - President, Chief Executive Officer & Director: ... rather than anything else.
Karen K. Lau - Deutsche Bank Securities, Inc.: Got it. Thank you very much.
Operator: Thank you. We'll now continue to Bhupender Bohra with Jefferies.
Bhupender Bohra - Jefferies LLC: Thank you. Good morning, guys.
David M. Wathen - President, Chief Executive Officer & Director: Good morning, Bhupender.
Bhupender Bohra - Jefferies LLC: So, my question is revolving around the pricing pass-through in Packaging and your Norris Cylinder business. I believe in the prior quarter, you talked about pricing pass-through risk and if you can update us like how that is progressing, as we are seeing kind of resin prices little lower here?
Robert J. Zalupski - Chief Financial Officer: I think resin prices are still low and, again, in most of our significant supply contracts, there's pass-through mechanisms that also get considered as we look at supplying our customers. So, in general, I don't know that resins materially changed or impacted results in the current quarter.
David M. Wathen - President, Chief Executive Officer & Director: Over a period of time, resin prices drop, our selling prices continue to go with it. We see a little less revenue, we tend the hold margin. I mean that's really what all you can count on in that business.
Sherry Lauderback - Vice President-Investor Relations & Communications: And then, Norris.
Bhupender Bohra - Jefferies LLC: Okay.
David M. Wathen - President, Chief Executive Officer & Director: North, the specialty steel prices are – it'd be pretty mean to be in the steel business right now.
Bhupender Bohra - Jefferies LLC: Right.
David M. Wathen - President, Chief Executive Officer & Director: The prices are low and the terms and conditions are – they are hungry for orders up into the future. And so, you see the margins in that business, some of it is reflecting the lower steel costs.
Robert J. Zalupski - Chief Financial Officer: Yeah. And then, to that point, in the current year, we do have contracts with certain of our customers who are, in essence, they recognized steel prices are at lows and have looked for some price reductions accordingly. If I had to couch it for the full year, we're probably talking 1.5% or so over the course of the year.
Bhupender Bohra - Jefferies LLC: Okay. And just wanted to talk about your free cash flow. If you can give us some color on the M&A pipeline, what you're thinking about how you want to deploy your cash – free cash, which is about $60 million to $70 million for this year. And, Dave, can you update us on your dividend policy? What you're thinking about that, and how the board is thinking about that going forward? Thank you.
Robert J. Zalupski - Chief Financial Officer: So, from a free cash flow standpoint, first quarter was lower than we expected as I noted but we do expect to see increases in free cash flow as we move through the remainder of the year. Relative to acquisition pipeline, it's really a function of what targets or potential targets are available at a point in time and how strategic or not they are, what's the relative multiple, what's the process that's involved. And so, obviously time – or time-depended and facts and circumstances based. Relative to dividend, Dave, you may want us to comment?
David M. Wathen - President, Chief Executive Officer & Director: I mean, that's I purposely mentioned that second quarter is when we develop strategic plans in each business, we're looking overall options for TriMas, what to do with what money we're generating, highest return on capital, it's capital allocation – all those things. And we go to the board with it. I have mentioned in the past that we have started to – dividend policy is on that list of options, whereas a few years ago I kind of would had to say we're not really thinking about it. That said, it's probably lower probability than other methods like buying stock back if that made sense. I happen to think there are acquisitions that make a lot of sense. Some acquisitions, the multiples are just so high, because everybody is so hungry for growth but there are some that for whatever reason, in spite of that, can be very accretive. And so we're really keeping after those. Like Bob says, it's always somewhat opportunistic. You can tell, I would rather find nicely accretive acquisitions right now.
Bhupender Bohra - Jefferies LLC: Okay. Thank you.
Operator: Thank you. And we'll go to Steve Tusa with J.P. Morgan.
Charles Stephen Tusa - JPMorgan Securities LLC: Hi. Hey, guys. Good morning.
David M. Wathen - President, Chief Executive Officer & Director: Good morning.
Robert J. Zalupski - Chief Financial Officer: Good morning, Stephen.
Charles Stephen Tusa - JPMorgan Securities LLC: Are there are any incremental – anything incremental from a restructuring perspective in the pipeline?
Robert J. Zalupski - Chief Financial Officer: Well, I think as you look at Energy, clearly there, while we're in the, what I'll call, the home stretch of completing the restructuring, we do expect there to be some incremental costs in the second quarter and then those will taper off over the reminder of the year.
Charles Stephen Tusa - JPMorgan Securities LLC: Okay.
David M. Wathen - President, Chief Executive Officer & Director: Beyond that, a little bit of integration related to obviously the costs associated with certain of the footprint restructurings but beyond that not so much. I think FIP is pretty much complete in terms of the one-time costs and we're seeing the requisite savings there as well.
Charles Stephen Tusa - JPMorgan Securities LLC: And then, on the Packaging side, an acceleration in the back part of the year. Is the high-end now a little bit of a stretch or are there other things that are going to come through here in the second half to accelerate that growth?
David M. Wathen - President, Chief Executive Officer & Director: Well, if every customer program comes through as scheduled, it looks mighty strong. The qualifier there is the programs are in customer's hands. But we have multiple customer programs or multiple new product launches, so you do get a little bit of an averaging effect from that that when somebody delays one, it doesn't – we've learned to model that pretty well. So, I'm pretty optimistic about growth in Packaging, as is the team there.
Charles Stephen Tusa - JPMorgan Securities LLC: Okay. And then just one last one on Aerospace. So, I guess, the commentary that you put together is, this is really – a lot of this is internal, blocking and tackling here. There really is nothing from a customer perspective that you have to worry about longer-term that represents more of a secular challenge to you guys being an effective supplier going forward with a commensurate and attractive margin?
David M. Wathen - President, Chief Executive Officer & Director: We always have to worry about it. We always have to worry. But that said, the build rates remain what they've predicted them to be. The ongoing conversion to carbon fiber construction continues. All that seems to be on track. There seems to be – there is a little bit – you can look at any of the modeling of build rates. It shows 2016 only up a few percent and then an acceleration in 2017. You kind of got to say, we will see as we get a little closer to that. But there is nothing going – and the things that we're dropping out, what was that huge freighter military thing, C-17 or whatever, some other fighter plane stuff, that's already dropped off. So, we don't see any of those things working out there that causing us a problem.
Robert J. Zalupski - Chief Financial Officer: I mean...
David M. Wathen - President, Chief Executive Officer & Director: It's a remarkably strong market.
Robert J. Zalupski - Chief Financial Officer: The other comment I'd make Stephen, I mean, I think, you're getting that disappointing the customer or not disappointing the customer, I guess, more pointedly and part of the higher costs that we incur, it's in order to continue to meet our ship schedules and the like, so that we don't disappoint. That said, I think, as we work through these issues over the next couple of quarters, I'd envision us being right back where we've always been with our customers in terms of on-time delivery and the like.
Charles Stephen Tusa - JPMorgan Securities LLC: Yeah. I guess my question is more about are the customers being more demanding. I mean you would have thought a couple of years ago you had a nice build schedule in front of you. You're seeing all these orders come in, you're saying wow, look at this volume we're going to get, but are they coming back to you and kind of trying to renegotiate around whatever? Not necessarily just price, but delivery and terms in saying, look, we're giving you all this volume, so here is what you owe us for that. It just seems like there is a lot of – there is a mosaic out there of Airbus and Boeing kind of throwing their weight around and using this big backlog as a bit of a hammer on their suppliers. And I am just curious, as you guys are one of the smaller suppliers out there, if you guys are kind of seeing that hammer at all? That was kind of more my question.
David M. Wathen - President, Chief Executive Officer & Director: Yeah. I think we've seen a lot of that hammer already.
Charles Stephen Tusa - JPMorgan Securities LLC: Okay.
David M. Wathen - President, Chief Executive Officer & Director: You're exactly right. But again, they kind of – fasteners were early in the Partnering for Success programs and everything that rolled out of that.
Charles Stephen Tusa - JPMorgan Securities LLC: Okay.
David M. Wathen - President, Chief Executive Officer & Director: We are still and, obviously, from first quarter, we are still learning how to run the smaller lots. They're demanding but I wouldn't say it has changed. We've done a lot of it by brute force in the factories. Now we are automating our scheduling systems and redoing how we handle orders and acknowledging all that. I can't tell you how many. Call that – everybody blames it on system, that's a little unfair. But I can't tell you how many times I've been through this in my career. You start to try to get everything lined up smoothly in the office processes and it's easy to have glitches. This is our fault. This isn't customer's fault but it's fixable stuff.
David M. Wathen - President, Chief Executive Officer & Director: Got it.
Charles Stephen Tusa - JPMorgan Securities LLC: Okay. Thanks a lot.
Operator: Thank you. We'll go to Gautam Khanna with Cowen & Company.
Gautam Khanna - Cowen & Co. LLC: Yeah. Good morning. I was wondering if you could maybe opine on how far along you think the Boeing basin rollout is? Are there a number of suppliers still to be added, or if you could maybe in percentage terms, how much more do you think there is to go?
David M. Wathen - President, Chief Executive Officer & Director: I would say, for us, it's rollout. For fasteners suppliers, it's roll out. You're seeing stuff about them, putting themselves into the....
Robert J. Zalupski - Chief Financial Officer: Distribution.
David M. Wathen - President, Chief Executive Officer & Director: ...distribution of aftermarket parts business. There could be some impact. Although again, that's what kicked off this destocking by the distributors, and that kind of thing. That's our industry. I think the action by basin and all that is occurring amongst other, you could say, more complex systems and parts now but fasteners, it feels like they've done their work, and we've adapted.
Gautam Khanna - Cowen & Co. LLC: Okay. So, actually, that gets me to the second question, which is, you mentioned the distributors are destocking, and certainly we've seen that with (48:40) for over a year now. What does that tell you about the aftermarket demand? Do you think Boeing is actually addressing aftermarket demand itself to the airlines and MROs on the fasteners side, or is that independent of your comments?
David M. Wathen - President, Chief Executive Officer & Director: I'd say that's independent. I'm hesitating because they're a little hard to read. It's a fascinating subject. I'm interested in it and we see some of the, we call them, smaller distributors capturing volume that they didn't used to have. So, there is a lot of turmoil going on that makes is hard to read about who is winning. I wish I could help you more than that. It's a – I think we're going to see churn in the distribution channel for a while yet.
Gautam Khanna - Cowen & Co. LLC: Okay. And just to move to smaller lot sizes, is that a very recent phenomenon, and is that here to stay, and what's driving that?
David M. Wathen - President, Chief Executive Officer & Director: Remember they switch to smaller lot sizes was us stocking lines directly instead of having a 3PL between us and Boeing. That is that straight-forward, and that started over a year ago.
Gautam Khanna - Cowen & Co. LLC: Okay. (50:12) started in 2012, so I'm just curious as to why the smaller lot sizes only started recently.
David M. Wathen - President, Chief Executive Officer & Director: The lot sizes – remember, this is them changing their delivery channel, their supply chain channel and instead of having a 3PL between manufacturers and their lines, expecting the manufacturers to stock the lines directly.
Gautam Khanna - Cowen & Co. LLC: Okay. Got it. So, you're not just sending to new breed anymore, you're sending directly to (50:42)...
David M. Wathen - President, Chief Executive Officer & Director: Yes.
Gautam Khanna - Cowen & Co. LLC: ...to whoever else. Okay. I see what you're saying. Thank you. That's very helpful.
Operator: Thank you. We'll go to Samuel Eisner with Goldman Sachs.
Samuel H. Eisner - Goldman Sachs & Co.: Yeah. Good morning, everyone.
David M. Wathen - President, Chief Executive Officer & Director: Hi, Sam.
David M. Wathen - President, Chief Executive Officer & Director: Hi, Sam.
Samuel H. Eisner - Goldman Sachs & Co.: So, just I mean – I know everybody is talking about aero, and I wanted to ask a few housekeeping questions on that. Are the margins back to your guidance range in April? Basically has the issue been resolved at this point? Does your guidance assume that you will be resolved at some point in the future? I just want to try to get an understanding that if we've already passed this or there is some point in the future that you expect to get past it.
Robert J. Zalupski - Chief Financial Officer: No. It's going to take a couple of quarters, Sam, to work our way through it fully. And as I noted in my comments, we would expect in the back half of the year to be at the targeted operating margin range of 18% to 20%.
Samuel H. Eisner - Goldman Sachs & Co.: And when you are talking about the anticipated share gains, when do those start to occur? Was that in some of the numbers that you reported this quarter? Just want to better understand how that ultimately folds into your expectations?
Robert J. Zalupski - Chief Financial Officer: Are you speaking now specifically to Aerospace?
Samuel H. Eisner - Goldman Sachs & Co.: Yes, sir.
Robert J. Zalupski - Chief Financial Officer: I don't know that we had contemplated significant share gain in the guidance that we put our for Aerospace. It was really more about the growth if you will from the acquisition. And then what I would just call, on top of that probably 2%, 3%, 4% relative to build rates and mix so to speak.
Samuel H. Eisner - Goldman Sachs & Co.: The reason why I'm asking is that if I look at your slide, where you talk about your segment assumptions, you do say steady OE build rates and share gains expected to boost top line. So, I'm just curious if that's already embedded in the numbers that you're reporting today and roughly the $40 million of revenue and the $3.5 million of EBIT?
David M. Wathen - President, Chief Executive Officer & Director: Of course, you're exactly right and what we're calling share gain is the conversion – basically the conversion to aircraft that we tend to have higher share on. So, that's more us understating the math and the build rate by platform and what our content is. So, ultimately that is share of the fastener market.
Samuel H. Eisner - Goldman Sachs & Co.: Got it. And last quarter you guys in your slide presentation discussed 2018 goals. I know they're not in the deck today. One, is that on purpose? And then, two, is there any updates to those 2018 expectations?
David M. Wathen - President, Chief Executive Officer & Director: No updates. We talked about do we put that chart in or not, if we don't have any kind of an update. So...
Robert J. Zalupski - Chief Financial Officer: It's a longer term annual focus that we're talking about there. And certainly, we don't look at one quarter, and the issues we've experienced in Aerospace is indicative of what we'd expect over the longer term.
Samuel H. Eisner - Goldman Sachs & Co.: All right. And then, just lastly on the subject of M&A, I'm not going to ask about adding (53:49) the portfolio but perhaps pairing the portfolio here when you think about your four main segments, how do you answer the question of potential portfolio actions going forward? I guess asking it bluntly, is everything core at this point? If you could answer that, that'd be great. Thanks.
David M. Wathen - President, Chief Executive Officer & Director: All right. Off course, there's a forced ranking of what businesses fit the TriMas model. We have a board meeting coming up in a couple of weeks, it's all about that kind of thing. So, we're in the middle of it. And we haven't changed that Packaging and Aerospace are our primary platforms but we have several other good business too. So, I'd say no news at this stage, stay tuned.
Samuel H. Eisner - Goldman Sachs & Co.: Thanks so much.
Operator: Thank you. We'll go to Walter Liptak with Seaport Global.
David M. Wathen - President, Chief Executive Officer & Director: Hey, Walt.
Walter Scott Liptak - Seaport Global Securities LLC: Hi. Thanks. Good morning. I just want to go back to the pricing in Aerospace and ask you about the contracts with Boeing, I guess in Airbus as well. Are you on a three-year or five-year contract, and when was the last contract negotiated?
Robert J. Zalupski - Chief Financial Officer: It varies between the two. I think I want to say five years for both. We just recently entered into an update to the Airbus contract. So, that's relatively new and Boeing is probably a couple of years we're into at this point. But remember now (55:28)...
Walter Scott Liptak - Seaport Global Securities LLC: Okay. So, the pricing pressures...
Robert J. Zalupski - Chief Financial Officer: ...all of our sales are through long-term agreement. So, I think where you see price pressure is on those sales that aren't subject to LTA.
Walter Scott Liptak - Seaport Global Securities LLC: Okay. All right. Got it. Okay. And I also wanted to ask about the free cash flow. Was there some component of cash flow that was weaker than expected this quarter, and what needs to improve to hit guidance in second quarter back-half of the year?
Robert J. Zalupski - Chief Financial Officer: I think it's principally working capital management. In Energy, while we've talked about still working through some of, I'll call it, the inventory bulge that resulted from last year's port strikes. It's taking a little longer than anticipated, given sort of lower end market demand in the Energy business. And then, in receivables, in these kinds of economic times, agings extend a little bit longer than you like. So, we've doubled down on our efforts, not just in the Energy segment but in our other businesses as well, to get our days sales outstanding back in line with where we've been historically. So, those are the two principal drivers within the working capital management that we need to do a better job on and we expect to do, as we move through the year.
Walter Scott Liptak - Seaport Global Securities LLC: Okay. Got it. Thank you.
Operator: We'll take a question from Rudy Hokanson with Barrington.
David M. Wathen - President, Chief Executive Officer & Director: Hi Rudy.
Rudolf Arthur Hokanson - Barrington Research Associates, Inc.: Thank you. Good morning. Switching over to energy, I just wanted to review the strategy there. I believe one of the key points that you were trying to do was, rather than rely on higher end value-add products, for rather sophisticated refining operations, that you were looking at what it meant for you to be selling, I don't want to call them lower end, but how you could lower the cost of more commodity type replacement products that may be more in demand, given the overall market place than relying on the energy sector continuing to go towards more intense cracking and heavy oils and things like that when the mix in the global market had been headed that way and it started to change in the last two years? Do I have that right? And could you talk a little bit about, again, lowering the cost of the broad range of products rather than relying on specialty value-add products?
David M. Wathen - President, Chief Executive Officer & Director: You've got it right. You listen well, Rudy. Of course, we try to sell both, but the change we really made was more of a – we decided we're not going to just depend on some of the higher spec products, which tend to the higher margin. It used to be – we were willing to, I'll say, we'll fulfill the orders for the commodity or catalog products, we will make our money on this specials. That was always the story in the business. And I had said I'd grit my teeth about that but, at some point, we got to get busy on the lower-end product. So, much of the restructuring action we've been doing, certainly everything that has to do with make versus buy, closing the plants in Asia and consolidating it, building a plant in Reynosa and moving production into there. That's really all addressing exactly what you're talking about, going after the lower end, more repeatable catalog kind of products and getting the costs out such that they become profitable and become a contributor to the business. And we are also working on – we've got several projects underway. Some of them certainly address the higher end products and pricing models by customer size and all that. But the heavy restructuring and footprint work is really about the commodity products. And so far, so good. We're moving right through it.
Rudolf Arthur Hokanson - Barrington Research Associates, Inc.: Would you say, then, that where you are in the energy sector is as far as what you can control, such as cost per unit, or as pretty far along the issue now is much more the volume as the cycles recover?
David M. Wathen - President, Chief Executive Officer & Director: No, we've got a lot of cost work to do. I'll give you a couple of examples. Bob commented on, we still got inventory that is backed up from – and we've cut in half, but we still got inventory in the system that, of course, is still (60:51) costs. There is some of that to work through. The Reynosa plant is continuing to ramp but this is a high spec, high – goes into applications that are intense. I've moved to a lot of plants in my career. This is one of those where you go in a very controlled way with approvals and all that going in – when you're moving from one plant to another. So, that is a – we will still be moving product into lower cost plants through this whole year. So, we've got a long run in front of us of costs coming out that we would intend to continue to show on the bottom line. So, well, I think we've got everything laid out. The plants are built, ones that we need to close are done, we've closed and consolidated some branches. I'm obviously saying, we've got several quarters yet ramping those changes to where they really will get full benefit. But it's...
Rudolf Arthur Hokanson - Barrington Research Associates, Inc.: Okay. Thank you.
David M. Wathen - President, Chief Executive Officer & Director: It's in our control and again, so far so good.
Rudolf Arthur Hokanson - Barrington Research Associates, Inc.: Okay. So, the energy sector, it would be appropriate as you have been talking about for the whole company in different ways in each group, going through a transition. The energy group 2016 is definitely a transition and 2017 will be much more of a volume issue?
David M. Wathen - President, Chief Executive Officer & Director: Yeah. I mean if the variable in 2017 – less of a cost issue in 2017 and then it's more about volume.
Rudolf Arthur Hokanson - Barrington Research Associates, Inc.: Okay. Thank you very much.
Operator: Thank you. Steve Barger with KeyBanc Capital Markets.
Steve Barger - KeyBanc Capital Markets, Inc.: Thanks for sticking around. Just a couple of quick ones. Dave, staying with the Aerospace, you said this was a TriMas issue versus a customer issue on the production side. And I think, Bob, you said it would take a quarter or two to work itself out. I'm just trying to understand what really happened. Is this carrying too much labor through the quarter as the schedule got pushed out, or did you not slow down material purchases fast enough, or what really drove the cost higher?
David M. Wathen - President, Chief Executive Officer & Director: We switched our scheduling systems. We actually exposed our dirty laundry. We actually scheduled some of the wrong product, build it, can't ship it yet, had to jump back in on over time and build products to ship in the quarter. We had, I called it, glitches. That is descriptive as anything. We had genuine scheduling issues. We've got a strong team there that knows how to address these things, but as we went through all these changes, a few people decided to retire – looking back on it and doing a postmortem. We had some people decide to retire in December, rather than go through all the changes. We, again I would call it scheduling kind of mistakes that then caused us to throw a lot of extra costs into the factory to make up for the mistakes and get out the door to satisfy the customer. It's always – and this industry is even more adamant than any other. You don't dare cause a customer problems. So, it's an easy decision to throw extra costs in the factories to make sure you meet the customer minimum demands.
Robert J. Zalupski - Chief Financial Officer: And Steve, in terms of the quarter or two to work through the issues, really the order book is strong and the demand is growing. We're operating near capacity with our current equipment, and really what we're trying to do is get ahead in terms of component manufacturing so that the assembly of parts that are due in a given month are – the components are manufactured, I'll call it, six to eight weeks in front of the scheduled delivery so that we can level-load the assembly process and have a much more controlled assembly and ship schedule, ratable through the month, as opposed to it being backend loaded. So, to do those things, you got to – given our capacity constraints, you sort of got to double up currently to get ahead and, then once you're at that point, you're able to have the throughput you need to level-load your delivery schedule.
Steve Barger - KeyBanc Capital Markets, Inc.: Understood. Did this effect both Monogram and Allfast or was this more one than the other?
Robert J. Zalupski - Chief Financial Officer: More Monogram.
Steve Barger - KeyBanc Capital Markets, Inc.: Okay. I read Marc Roberts' bio in the press release. It looks like his background is more plastics and specialty chemicals. So, just 30 seconds on what in his experience or skill set you think makes him the right guy for the job?
David M. Wathen - President, Chief Executive Officer & Director: Before recent, which was in Silgan, he was in some automotive supply businesses, lived in Europe running those. And then before that he actually worked for Precision Castparts. So, he's been in several industries that apply to ours. It's more that, in my judgment, he is a well-rounded P&L manager that had continued to move up the ladder. Actually got, in my view, got to the point that he gets promoted to running multiple operations and all that but a job like ours, which is a true P&L standalone, those are rarer all the time. And that's what made it attractive to him. Now, he's got a surprisingly matched background to our kinds of businesses and he's also a – you'll meet him – he's also a very structured process kind of a thinker and he's got a very inclusive kind of a style, which will fit very well with our style.
Steve Barger - KeyBanc Capital Markets, Inc.: Got it.
David M. Wathen - President, Chief Executive Officer & Director: I mean, hiring somebody new is a big thing and we took our time doing this and I'm real happy with where we're at.
Steve Barger - KeyBanc Capital Markets, Inc.: Good. And one last one from me. Bob, what is the cash impact from the Financial Improvement Plan this year? What's your estimate?
Robert J. Zalupski - Chief Financial Officer: Do you mean in terms of the one-time costs or relative to the anticipated savings?
Steve Barger - KeyBanc Capital Markets, Inc.: No, no, the one-time cost, because I think your free cash flow definition is excluding the cash impact of FIP, right?
Robert J. Zalupski - Chief Financial Officer: Yeah, it does exclude the impact of non-recurring items.
Steve Barger - KeyBanc Capital Markets, Inc.: So, I'm just trying to see what that number is?
Robert J. Zalupski - Chief Financial Officer: I'm going to guess its $2 million tops. I mean, the majority of those actions were taken in 2015 Steve, and they were a few things that I'll say straddled into first quarter. I would tell you that we're substantially complete. And that at this juncture, maybe for the rest of the year, we've got a couple of million kind of thing.
Steve Barger - KeyBanc Capital Markets, Inc.: Got it. Okay. Thanks.
Operator: Thank you. And with no additional – I beg your pardon – no additional time for questions, I'd like to go ahead and turn the floor back over to Dave Wathen.
David M. Wathen - President, Chief Executive Officer & Director: Thank you. We sure appreciate everybody's attention and interest. We've got plenty of work to do here, and you know we're going to keep at it, we owe it to you. I am reasonably optimistic about my view of 2016. I sure wish there was more market strength out there but there is a whole lot of people like me that will tell you the same thing and, at some point, you decide, so what, we're going to do our best with what we've got. And I think we've got a lot of good stuff going on. I also know that our travel schedule is pretty heavy in the next month or so with meeting quite a few of you face-to-face. So, we're looking forward to that. Thank you. And we'll stay in touch.
Operator: Thank you. And again, ladies and gentlemen, that does conclude today's conference. Thank you, all again for your participation.